Operator: Hello, and welcome to the Royal Vopak Third Quarter 2025 Update. [Operator Instructions] This call is being recorded. I'm pleased to present Fatjona Topciu, Head of Investor Relations. Please go ahead with your meeting.
Fatjona Topciu: Good morning, everyone, and welcome to our Q3 2025 results analyst call. My name is Fatjona Topciu, Head of IR. Our CEO, Dick Richelle; and CFO, Michiel Gilsing, will guide you through our latest results. We will refer to the Q3 2025 analyst presentation, which you can follow on screen and download from our website. After the presentation, we will have the opportunity for Q&A. A replay of the webcast will be made available on our website as well. Before we start, I would like to refer to the disclaimer content of the forward-looking statements, which you are familiar with. I would like to remind you that we may make forward-looking statements during the presentation, which involve certain risks and uncertainties. Accordingly, this is applicable to the entire call, including the answers provided to questions during the Q&A. And with that, I would like to hand over the call to Dick.
D.J.M. Richelle: Thank you very much, Fatjona, and good morning to all of you. Thanks for joining us in the call this morning. Let's start with the key priorities of our strategy framework towards 2030. We continue to focus on improving the performance of our existing portfolio. This includes both our sustainability efforts and our financial results with an operating cash return target for the portfolio of above 13% throughout the cycle. As part of our grow and accelerate strategic pillars, we continue to invest in attractive opportunities in the market with a total proportional investment ambition of EUR 4 billion by 2030. Our Improve, Grow, Accelerate strategy underpins our well-diversified and resilient portfolio and provides a solid foundation to continuing to deliver value to all our stakeholders. Moving to the key highlights for the first 9 months of this year. Let's first start on the improved side. Year-to-date, demand for our services remained healthy across the entire portfolio, and that resulted in a proportional occupancy rate of 91% with continued high satisfaction from our customers. We reported strong financial performance, growing our proportional EBITDA to EUR 902 million and an operating cash return of 16.2%. At the same time, our proportional operating free cash flow per share increased by 4.3% year-on-year to EUR 5.56, demonstrating our strong cash generation. Supported by a resilient portfolio and business performance offsetting around EUR 30 million of negative currency translation impact compared to last year, we confirm our full year proportional EBITDA outlook in the range of EUR 1.17 billion to EUR 1.2 billion. We're making good progress in growing our gas and industrial footprint. We invest in additional throughput capacity at the REEF terminal in West Canada, while at the same time, we're making good progress in the terminal constructing together with our partner, AltaGas. In China, we're strengthening our industrial position with the expansion of 2 industrial terminals in Caojing and in Haiteng. We're expanding LNG infrastructure in Colombia at SPEC terminal. And in India, our joint venture, AVTL, announced the development of a greenfield LPG import terminal in Mumbai, including a bottling plant and storage for liquid products as well. AVTL also acquired 75% of LPG Hindustan terminal in Haldia. We're pleased to see the developments at multiple locations in the fast-growing Indian market. So far, since we announced our ambition to grow in gas and industrial terminals globally, we've committed EUR 1.6 billion. So now let's move to accelerate investments for the energy transition infrastructure. In Oman, we signed a joint venture agreement with OQ to develop and operate energy storage and terminal infrastructure. With our partner, we look forward to developing infrastructure at the strategic location of Duqm and jointly supporting sustainable industrial growth. The investment in Malaysia related to low carbon fuels is progressing, and we look forward to start construction early 2026. So far, since we announced our growth program for Accelerate, we've committed EUR 256 million in energy transition infrastructure. Now looking at our financial performance for the different terminal types we operate. We see an overall strong performance with higher results compared to the same period last year. Gas markets were stable with our terminals being supported by long-term contracts, mainly due to some planned out-of-service capacity, a positive one-off last year and the temporary challenges at EemsEnergyTerminal, the results of the gas segment went down on a year-to-year basis. In the Industrial segment, growth is contributing. And together with the one-off in the second quarter, we see 15% increase in this attractive and strategic segment on a year-to-year basis. Chemical markets remain weak, while our terminals continue to perform relatively stable despite some locations seeing lower occupancy rates. Energy markets, which we serve with our oil terminals continue to see strong demand, especially in the hubs like Rotterdam and Singapore. All in all, this has led to an increased proportional EBITDA of EUR 902 million and a strong operating cash return of 16.2% for the first 9 months of 2025. To mention some highlights in our strategic pillar of improve, we are pleased to see an expansion commissioned at our inland Lesedi terminal in South Africa, where we increased our terminal capacity by 40%, supporting the region with distribution of clean petroleum fuels. In Spain, our joint venture divested the Barcelona terminal, which was storing petroleum, chemical and vegetable oil products. And in a continued effort to improve our sustainability performance, we invest in a sustainable heating system at our Vlissingen terminal in the Netherlands, significantly reducing the emissions and decreasing operating costs. Now let's move to the growth investments to start with an update on this year's proportional growth CapEx spend. Year-to-date, we spent EUR 447 million on growth, and we expect this number to be around EUR 700 million for the full year, a significant increase from 2024. This figure reflects our share of investments, but not our equity contribution. Since the start of our Improve, Grow and Accelerate strategy, we've committed a total of EUR 1.9 billion. EUR 502 million of this EUR 1.9 billion has been committed since the beginning of this year. We're well underway to invest EUR 4 billion towards 2030, which we aim to allocate in opportunities that meet our investment criteria. On this slide, we highlight the investment commitments that we've taken during the third quarter. We're investing around the world with a total proportional investment commitment of EUR 188 million only this quarter. We're progressing on our LPG terminal in Canada and building a new terminal in India. In Colombia, LNG regasification capacity is expanded at SPEC terminal. And in China, our leading industrial position is strengthened with expansions in Caojing and Haiteng. All these investments around the world will do together with partners. Now let's take a closer look at the REEF terminal in West Canada. Construction work is progressing well, and the project is on track to be commissioned at the end of 2026 within budget. We're investing an additional EUR 34 million to increase the throughput capacity of the terminal, leveraging the common infrastructure of the terminal such as the constructed jetty. This additional throughput capacity will become available in the second half of 2027. In the meantime, we will continue to investigate together with our partner, AltaGas, potential optimizations of the terminal and a next phase of expansions. In Colombia, our SPEC terminal plays an important role in ensuring local energy security. With an investment of EUR 25 million, the regasification capacity will be expanded by 33%. This additional capacity will diversify SPEC business offering to new industrial customers and get connected to the country's gas grid. This investment is backed by long-term contracts and will deliver attractive operating cash returns upon completion. We're delivering on growth with multiple expansions at existing and new locations, and our capability to deliver will ensure project execution in the coming -- in the years to come, with multiple key investments coming online that will support future growth. We're on track to have both REEF and the fourth tank at Gate commissioned by the end of 2026. And further down the line, multiple expansions and new terminals will follow, supporting long-term stable and growing returns. To wrap it up, we presented strong results this quarter, supported by a healthy demand for infrastructure and leading to an operating cash return of 16.2% year-to-date. We continue to deliver growth with our key growth projects on track and new expansions announced. And we're pleased to confirm our outlook despite a negative currency translation effect of EUR 30 million. With that, I'd like to hand it over to Michiel to give more details on the year-to-date and third quarter numbers.
Michiel Gilsing: Thank you, Dick. And also from my side, good morning to all of you. In the third quarter, we saw continued strong performance from our resilient portfolio. Our proportional operating free cash flow per share has increased by 4.3% year-on-year, driven by continued high demand for our storage infrastructure, increased EBITDA and our share buyback programs. These results highlight the strength of our well-diversified portfolio, particularly in times of increased uncertainty and volatility. Simultaneously, we continue to ramp up our investments in attractive and accretive growth projects while returning value to our shareholders. Let's take a closer look at the performance of the portfolio during the third quarter of this year. I would like to start with a reminder that in the second quarter of this year, we reported a one-off EUR 22 million, which was related to a commercial resolution in our Asia and Middle East business unit. This needs to be considered when comparing the third quarter with the second quarter results on a proportional revenue and EBITDA level. The proportional occupancy in Q3 was 90.3%. This decrease compared to Q2 is mainly related to a temporary impact caused by the timing of some contract renewal. We recorded proportional revenues of EUR 467 million during Q3. Excluding the one-off, on an autonomous basis, the lower occupancy was offset by improved pricing, leading to an increase in revenues. Proportional EBITDA in Q3 decreased to EUR 287 million, again caused by the one-off in Q2. On an autonomous basis, EBITDA increased by 0.4% quarter-on-quarter, indicating strong performance of our existing operating assets. And finally, our cash flow generation remains strong, which we will highlight in detail later in this presentation. As mentioned, the translation effect of foreign currencies remains a headwind to our results. If we look at the proportional EBITDA split by currency, we can see that 27% of our EBITDA is generated in euro, which means that for the remainder of the EBITDA, we face translation risks in our P&L. Comparing our results on a constant currency basis, we can clearly see that our results this year have been strong. Also, it provides additional context for our Q3 performance. Excluding one-off in the second quarter, our performance in Q3 was in line with Q2 and above Q1. Back to our global network. This slide provides a more detailed breakdown of the proportional EBITDA generated by our business units in the different regions. Excluding negative currency exchange effects of EUR 18 million and EUR 2 million divestment impact, proportional EBITDA increased by 3.2% versus year-to-date 2024. A large part of this growth can be explained by the strong contribution of EUR 17 million from our growth projects, particularly in China and the Netherlands. Additionally, we saw particularly strong performance from our Asia and Middle East business unit, which is primarily driven by the result of a commercial resolution in the second quarter. Across the remaining business units, the performance was relatively stable with some weakness in the Netherlands related to the out-of-service capacity and the temporary challenges in EemsEnergyTerminal, for which we are pleased that a technical solution has been identified and is expected to be completed by early next year, while the terminal remains fully operational. Moving on to the cash flow generation. We are continuously focused on generating predictable growing cash flows to create shareholder value for our shareholders. We achieved this by growing our revenues while maintaining high EBITDA margins and strong EBITDA to cash conversion. Despite a strong currency headwind, we saw slightly higher proportional revenues year-on-year. Since costs were stable, our proportional EBITDA margin improved by 20 basis points. The cash conversion of our portfolio, which indicates the portion of EBITDA that is converted into proportional cash flow slightly decreased to 71.4% due to an increase of operating CapEx. The proportional operating free cash flow per share increased by 4.3%, driven primarily by the reduced share count following our share buyback programs in '24 and '25. Finally, we realized a stable operating cash flow return of 16.2%, well above our long-term target of 13%. Q4 is characterized by higher operating CapEx spend, hence, operating cash return for the full year is expected to be in line with the prior year. Moving on from proportional figures to consolidated figures. We get a good picture of the cash flow that becomes available for capital allocation at the holding level. Our cash flow from operations, which includes upstream dividends from our joint ventures remains strong, showing a 2% year-on-year increase. After deducting operating CapEx and IFRS 16 lease payments from the CFFO, we arrive at a consolidated operating free cash flow of EUR 557 million, equivalent to EUR 4.82 per share. Factoring in the increase in net debt and all finance and tax-related cash flows, we arrive at free cash flow of EUR 618 million. This represents the available cash that we can strategically allocate to pay dividend, to invest in growth or to buy back our own shares. In the first 9 months of the year, we have used roughly half of our available cash flow to distribute value to shareholders. As we have completed our share buyback program for the year and paid our annual dividend, cash available in the fourth quarter will be primarily used for growth investments. This all in line with our long-term capital allocation policy that aims to deliver value to our shareholders while pursuing growth opportunities at the same time. Our capital allocation framework consists of 4 distinct pillars, aiming to maintain a robust balance sheet, distribute value to shareholders, invest in attractive growth opportunities and yearly evaluate share buyback programs. In the next part of the presentation, I will briefly highlight the developments on our key capital allocation achievements. Starting at our first priority, the balance sheet. Proportional leverage, which reflects the economic share of the joint venture debt versus the part of the EBITDA of the joint ventures decreased slightly to 2.56x compared to the end of 2024 when it was at 2.67x. If we exclude the impact of assets under construction, which do not contribute yet to the EBITDA, proportional leverage is at 2.12x, which is the lowest level in the last 5 years. Our ambition for the proportional leverage range is between 2.5 and 3x. To facilitate the development of growth opportunities that enhance cash return, Vopak's proportional leverage may temporarily fluctuate between 3 and 3.5 during the construction period, which can last 2 to 3 years. Additionally, we maintain control of our financing expenses by limiting the exposure to volatility in interest rates. We achieved this by borrowing predominantly at fixed rates, around 80%. As mentioned, we have the long-term ambition to generate reliable and attractive returns for our shareholders. This is why we increased our dividend per share by 6.7% to EUR 1.60 in 2025, adding to our long track record of annual dividend distributions. On top of that, we updated our capital allocation policy to include share buyback programs. Over the last 2 years, we have successfully completed 2 programs with a total value of EUR 400 million and as a result, decreasing our share count by 8.3%. Considering both the dividends paid and the share buyback programs, we have offered an average shareholder yield of 8.1% in the period '24, '25. Investing in growth opportunities is an important part of our capital allocation policy. As highlighted during our recent Capital Markets Day in March, we have the ambition to invest EUR 4 billion on a proportional basis by 2030 to grow our base in gas and industrial terminals and to accelerate towards energy and transition infrastructure. At this point, we have already committed around EUR 1.9 billion to growth investments since 2022, of which EUR 526 million has been commissioned and is contributing to our results. And as you can see in the graph, we are ramping up our investments significantly this year with expected proportional growth CapEx of around EUR 700 million. We continue to see attractive growth opportunities in the market that we will pursue in order to grow the cash generation of our portfolio. Our ambition remains unchanged to actively support our customers with infrastructure for the ongoing energy transition and to invest when opportunities arise at returns in line with our portfolio ambition. We see this as an opportunity to invest rather than a target to spend. In India, our joint venture, AVTL, announced an investment in a greenfield terminal at the JPNA port in Mumbai. This terminal with capacity for LPG storage, a bottling plant and capacity for liquid storage is a strategic investment serving the fast-developing Hinterland. The investment, of which EUR 70 million is Vopak's share is funded by the proceeds from the listing and is expected to be commissioned in phases starting mid-2026. Also, AVTL acquired 75% of the Hindustan LPG terminal for a total amount of EUR 100 million, which is equal to a proportional investment of EUR 42 million for Vopak. Upon the closing of the transaction, our share in this terminal will effectively rise to 31.67% from the 24% we own currently. On the Vopak holding level, we expect a cash in of EUR 32 million following the closing of the transaction. The acquisition will allow AVTL to expand its business at the Haldia location in LPG storage. For Vopak, this is another showcase on how we create and unlock value for our shareholders while optimizing our joint venture structure and controlling the cash flow at the holding level. That brings me to the full year outlook of 2025. We confirm our financial outlook with a proportional EBITDA range of EUR 1.17 billion to EUR 1.2 billion, subject to market uncertainty and currency exchange movements. We expect proportional operating CapEx of below EUR 300 million and proportional growth CapEx of around EUR 700 million for 2025. For the longer term, our ambition remains unchanged. We aim to invest EUR 4 billion proportional growth CapEx in industrial, gas and energy transition infrastructure by 2030, while generating at least 13% operating cash return from the portfolio. Our ambition, as mentioned, for the proportional leverage range is between 2.5 and 3x. Bringing it all together in this slide, we had a strong Q3 performance and delivered on our financial performance with a healthy occupancy rate and a record high proportional EBITDA for the first 9 months of the year. With regards to our growth ambition, we are well on track to invest EUR 4 billion proportional growth CapEx by 2030. We remain committed to capture opportunities to grow in industrial and gas terminals and accelerate towards infrastructure for the energy transition. Our well-diversified portfolio caters for uncertainty and volatility in the market. As a result of that, we are confirming our outlook. These factors, combined with a strong capital allocation framework create value to our shareholders, leading to an increase of free cash flow per share of 4.3% compared to last year. This concludes my remarks in the presentation, and I would like to hand back to Dick for the Q&A.
D.J.M. Richelle: Thank you, Michiel. With that, I'd like to ask the operator to please open the line for question and answers.
Operator: [Operator Instructions] And now we're going to take our first question, and it comes from the line of Kristof Samoy from KBC Securities.
Kristof Samoy: I will start with 2. Can you elaborate a little bit on the contract renewals that you commented on during the presentation and the impact it had on occupancy rates and how you see that picking up again in the fourth quarter? And then as a general remark, it's more of a, let's say, a strategic question. What's the impact that you see on your industry of the potential for a Power of Siberia Gas Line 2? And what could the potential impact be on your ongoing business development activities? These are my first 2 questions.
D.J.M. Richelle: Can you maybe before we answer, maybe repeat the second question? We couldn't quite hear it. The impact of what?
Kristof Samoy: The Power of Siberia, the gas pipeline between Russia and China.
D.J.M. Richelle: Okay. Yes. Okay. Well, maybe if I start with the contract renewals, that's basically in Fujairah and in Rotterdam. So it's oil storage, where we are like rolling over a contract from one party to the other. So it's a temporary occupancy consequence, as you see. And we have -- we're in the process now of rolling it over to new contracts. So that should happen in Q4 and the beginning of 2026. So fundamentally, it's not something that we're concerned about. Then maybe to the impact of the power line or the LNG connection between Russia and China. I think the way we look at it is if you consider of the main infrastructure that we have on LNG today in Western Europe, that's basically Gate and EemsEnergyTerminal. They are already fully dependent on the LNG imports that are coming from countries other than coming from Russia. So I don't think that has a big impact. I think we look still very comfortable and positive towards the medium- to long-term outlook for that infrastructure. And with what's happening between Russia directly and China is not having a major impact or not expected to have any impact on our plans for LNG in the different parts. As you can see in Colombia, as you can see with the plans that we have and the developments going on in Australia, in Pakistan, they're all kind of like individual market dynamics that we understand well and have no impact from the developments that you're describing.
Operator: Now we take our next question -- and it comes from the line of David Kerstens from Jefferies.
David Kerstens: I've got 2 questions, please. I think you highlighted in the press release that the -- or in the presentation that the impact of the lower occupancy was offset by better pricing and higher throughput revenues. Can you indicate where in the portfolio you see this higher pricing and where throughput revenue increases? And then also the second question, I think the contribution from growth projects on proportional EBITDA increased to EUR 17 million year-to-date, I think, versus EUR 9 million in the first half of the year. How do you expect this figure to develop for the remainder of the year and for 2026 and 2027, given that the project pipeline is now nicely building up. And I think in the past, you used to give a rough ballpark number what you expect from growth projects on EBITDA. Those are my 2 questions.
D.J.M. Richelle: Yes. Thanks, David. I'll take the first one, and I'll leave Michiel to do the second one. So on the first one on the better pricing and throughput, that's mainly in the main oil terminals. We see that we still have quite a bit of an opportunity to do our pricing quite well. If you look at particular throughput levels, we've seen some additional throughput in the Vlissingen terminal because we've added actually more capacity in Vlissingen. And you also see that AVTL has seen a bit more throughput in this last quarter. So by and large, I think positive developments in that area. But I think the main one that stands out, although not to be exaggerated, but I think the one that stands out is still some power that we have on the oil side in the hub locations, mainly.
David Kerstens: Pricing power, yes.
D.J.M. Richelle: Yes.
Operator: Now we're going to take our next question.
Michiel Gilsing: Next question is on the proportional EBITDA contribution of growth projects. So indeed, the first 3 quarters were around EUR 17 million. So for the last quarter, you may expect another close to EUR 10 million contribution.
Operator: And now we're going to take the question from Jeremy Kincaid from Van Lanschot Kempen.
Jeremy Kincaid: I have 2 questions. Firstly, on Australia, you obviously announced that you've entered into an exclusive agreement with Seapeak. I was just wondering if you could provide an update on the potential time line going forward for that project. And in particular, I know regulatory approvals are important there. So an update on the time line would be helpful. And then secondly, Michiel, you said that the Asian and Middle East business was stronger this quarter due to a commercial resolution. Are you able to provide a little bit of color as to what that was?
D.J.M. Richelle: Sure. Jeremy, maybe on Australia, to start off with, the project is developing well, as we indicate. We have a really good team in place and everything lined up to actually move forward with the permit application that is being prepared at this moment. That is, as you rightfully indicate, a lengthy and a very -- I wouldn't say lengthy, but a diligent process in that part of Australia, and we go through that. So the time line, but that obviously is subject to how the permit process is developing. The time line we expect towards the end of 2026 to have more clarity on this and to be able to hopefully move forward with the project at that time. But as I said, that depends a bit on how some of the developments on the permit are moving ahead. I think the attractiveness of the project for us is because of the location that we found for our import facility. We get good support both from the government and from all the interested parties in Australia. So we have good hopes that this project will move forward. But obviously, we have to move diligently through the approval and the permitting processes, which is happening at this moment. So happy to continue to update you in the following quarters.
Michiel Gilsing: Yes. Jeremy, on the commercial resolution, effectively, that took place in Q2. So it was announced in Q2 as well. So it wasn't in Q3, but it had to do with the commercial settlement of a significant contract we have in that region in Malaysia. And as a result, we had a one-off gain of EUR 22 million. So that's effectively what happened. I can't give you all the details of this, but it's a one-off. It's a good commercial settlement, and it impacted Q2 positively. But as a result, Q3 looks weaker than Q2.
Operator: Now we are going to take our next question and it comes from the line of Berkelder from AAOB.
Thijs Berkelder: Thijs Berkelder, ABN AMRO ODDO BHF. I have a question on your growth CapEx. You're guiding for EUR 700 million proportional growth CapEx. What is the guidance on consolidated growth CapEx just for the modeling? The second question is on leverage. Looking at your share price, it also is clear to you probably that European investors simply want to eliminate their own economy and prefer share buybacks far over long-term strong growth CapEx plans. So looking at your leverage being at the low end of the range, what are you expecting for year-end? And is it logical to assume that the new share buyback announcement will come in? Finally, apart from Australia, can you maybe give an update on your growth projects in South Africa, in EemsEnergy and in battery storage Netherlands?
Michiel Gilsing: Yes, on the -- let me start with the second question because the first question, I don't know by the top of my head, to be honest. So we need to see whether we can find a number and whether we're able to disclose it. Then on the leverage and the share buyback, yes, obviously, we prefer to grow the company because we think that the EBITDA multiples, which we can realize on the growth projects are still quite attractive. Obviously, if you look at the trading multiple of the company is historically quite low at the moment. So that still makes it attractive to do share buybacks, but growth is still prioritized over share buybacks. But definitely, we will -- like we have done in the last 2 years, yes, we will always have a positive look at the share buyback if there is room to do it. We're going through our budget process in the coming months, update our long-term financials, see what the available room is. Obviously, a lower leverage helps us there. So that's the guidance I can give at the moment, Thijs. And on the consolidated growth CapEx, it is going to be somewhere around EUR 300 million to EUR 350 million.
D.J.M. Richelle: And then maybe, Thijs, on the last question, so update on South Africa, on Eems, on batteries. In terms of projects South Africa LNG fundamentals still continue to look very attractive. I think time lines is something that have to be watched given the fact that in order to build a power plant that the LNG would support or would basically supply into needs to get also the permit and we've seen that there's some delay on the permit process of the power plant. So that's what we continue to follow. Again, fundamentals still look attractive. The role that we can play looks very attractive. We need to work through these topics. I think that's on South Africa. On Eems, as we say, happy that we have the compressors identified and being put into motion to have 2026 onwards, at least the technical challenge, the temporary technical challenge solved as we indicated. And I think we're going through the renewal process for Eems at the end of 2027, and that's an ongoing process. And the third one was on batteries for the Netherlands. As we've indicated before, we have a few -- 2 to be specific battery positions that we are currently developing. That's in the Netherlands. We also have a few in Belgium, and we're developing all of them individually in the course of our normal project development funnel, expecting the first investment, if everything moves in the right direction, somewhere in the course of 2026. That's the idea. So we continue to develop this field. There are opportunities, the role that we can play. We're actually confirming the attractiveness. And let's see how the development cycle plays out and how big this can become for us.
Thijs Berkelder: Maybe one additional question on growth CapEx. Are you also looking at acquisitive investments such as New Fortress has assets for sale. Is Vopak interested there? Or are you in talks on other acquisitive moves?
D.J.M. Richelle: If we were, this would probably not be the right moment to share that with you. We're always looking at a lot of opportunities, Thijs. There's a lot of people that there that we get from people that have great ideas on what potentially could be done. And I think as long as it makes strategic sense for us as a company, we will definitely consider those and that could be in, I would say, the so-called more traditional space of our business, and it could also be in a little bit more adventurous pieces. But that could also, for instance, be on the battery space. We continue to keep our eyes wide open and make the right moves as we think we can get there.
Operator: And the question comes from the line of Dirk Verbiesen from ING.
Dirk Verbiesen: I also have some questions. Maybe I'll start on the, let's say, the cost restructuring program, the ongoing program. What are your expectations for Q4? And is this, let's say, a program to counter maybe inflationary pressures on an ongoing basis? Or should we see some benefits structurally visible in EBITDA, let's say, as from 2026? That's my first question. Second question I have is on Eems. And the announcement on Exmar and the floating gasification facility. Let's say, what is the -- maybe to get an idea on the size and scale of your commitments in this future prospect. Maybe you can share some there. And then on Oman, it is positioned in Accelerate as a potential project. But I also read that there are traditional energy flows as well. So maybe some clarification there on what the actual mix may look like and also in terms of timing on firm commitments, FIDs and so on from your side?
Michiel Gilsing: Yes. Let me start with the first question and then hand it over to Dick for EemsEnergy and the Oman question. Yes, on the cost restructuring, indeed, we have quite a bit of a cost focus, didn't start this year, but already 1.5 years ago, we took out one layer in the organization. So we have reduced the number of layers in the company. So basically, every business unit, which originally reported to the division and then the division to the Executive Board, every business unit now reports to either Dick or myself. So that is a benefit where we like to control, let's say, the support functions of the business. Presently, we're in the process of looking at the global office, and we expect -- while you can -- we see it already in the monthly results that the cost is coming down of the global office, and that's going to continue in 2026. So those will be structural benefits, and we're also looking at our IT organization because we have commissioned most of our own systems on terminals where we would like to commission it. So IT department goes into a different phase. That's where we carefully look at the cash out of IT, which should also lead to structural benefits and more from 2026 because that program still has to be sort of designed. And then we have all kind of business initiatives to indeed keep the cost under control, energy management, making sure that we are smart in operating CapEx, carefully look at the way we build our projects, so to really look at each and every angle to improve the business. Part of that is maybe to cope with inflation pressure. But for us, it is really to continuously focus on areas where we can still improve the cash flow performance of the company. That's the most important thing. And then in a structural manner because the markets are quite good. The results have gone up quite a bit from a cash flow point of view over the last 3, 4 years, adding EUR 250 million cash flow to where we were in 2021. But we obviously want to make sure that we also run the company in a very efficient and effective manner. And thereby, we see still opportunities to increase our free cash flow while we are running at a high occupancy level.
D.J.M. Richelle: And maybe, Dirk, on the other 2 questions, maybe first one on Eems, Indeed, so the current setup in Eems is we have 2 FSRUs. One is the one owned by Exmar and then the other one through a bit of a difficult structure, but in the end, owned by also New Fortress Energy. And that's the one that we're going to now replace in the renewal process. So after 2027, we will replace that FSRU with an FSRU from Exmar. The commitment that we have today is that we work together with Exmar on the renewal process, so the permit renewal and the customer contract renewal. That's a process that we currently go through. And that is a process that obviously, in terms of commitment, the individual commitment, we would not disclose what the individual commitment is to Exmar, but we have exclusivity on the right FSRUs to make sure that we can go through this process and make sure that we get the renewal done and then have the 2 Exmar FSRUs in place in Eems. So that's the process that we currently go through, and that's why we've announced to have that -- to reach that agreement with Exmar. I think that's one. And then the other question you asked was on Oman. And that's a joint venture that we signed with OQ. It's in the Port of Duqm and Duqm has a few attractive parts. And I think the fundamental attractiveness of Duqm sits in the fact that the renewable energy is very competitive over there simply because of the climatological circumstances of that part of Oman. So hence, the concentration of the country to produce green ammonia for exports is really focused on that part of Duqm instead of allowing all the individual producers of the potential green hydrogen, green ammonia to build their own infrastructure. The Omani government has basically said, let's bring one specialist in and make sure that we share the infrastructure in the export port of Duqm. So that's the overall plan. In the meantime, and in the initial phases of the development over there, we expect that there's, for example, a huge potential for also LPG exports in the country and specifically through the port of Duqm. So that's the reason why for now, we've classified it as a fundamental long-term investment under the Accelerate. Yes, if the first investments come in and sit in LPG, we would probably reclassify part of that investment. But I think the key message here is it's a new country. I think the role that we as Vopak can play is really a very good role, and it's an attractive country for us to be in, and we expect quite a bit from that in the future. So excited about it.
Dirk Verbiesen: Okay. That's very helpful. Maybe on the restructuring efforts you are implementing, is there another expectation for Q4 of a few million? And how long will this program last as an exception that you can apply it as an exceptional charge?
Michiel Gilsing: Yes. In exceptional, something still may happen in Q4 because the program is indeed ongoing. And as I said, more to come. The impact in Q4 will be -- the positive impact of lower cost will be a bit in line with what we have seen in Q3. And then obviously, any further benefits of this program are going to be included in the outlook of next year for '26. But definitely, we aim, as I said, not to be only to see an impact in '26, but also definitely beyond '26.
Operator: [Operator Instructions] And the question comes from the line of Kristof Samoy from KBC Securities.
Kristof Samoy: Yes. I have 2 further questions. First of all, I still need to do some number crunching on the operational cash returns. But can you maybe detail already a little bit what is the reason of the drop in the OCR quarter-on-quarter? And then secondly, what about the Vopak Energy Park in Antwerp? How is this project progressing? And is there any material change following the outcome of the IMO meeting, which was not very favorable in terms of alternative marine fuels?
Michiel Gilsing: Yes. Thank you, Kristof. Let me tackle the one on the OCR, and then I hand it over to Dick for the Antwerp major development. Yes, by nature, but that maybe sounds a bit strange. But by nature, you see within Vopak always the cash return of the first quarter is the highest, and then it sort of gradually goes down during the year. And the reason for that is that most of the operating CapEx is effectively spent in Q4. So the pattern most of the time is like we spend around 10% of our operating CapEx in the first quarter and then 20% in the second, 30% in the third and 40% in the fourth. And that has to do with budget approvals with people need to design it and then start to really come on speed in the second half of the year. And as a result, if you deduct the operating CapEx from the cash flow generated by the business, effectively, if the business is relatively stable, you will notice that the cash per quarter effectively goes a bit down versus the capital employed, which is relatively stable. And as a result, the OCR gradually goes down from Q1 to ultimately Q4. And then on average, we think that it's going to land somewhere around 15% for the year.
D.J.M. Richelle: Maybe Kristof, on the energy park in Antwerp, continued exciting development. How excited can you be for a land that is empty? Well, that's exactly why we are excited for it because all the infrastructure that was on the land has been demolished successfully over the past period. We're now in the phase of the necessary cleanup and that soil cleanup that is currently going on with a massive project, which is going according to plan and in line, obviously, with all the obligations that we have assumed when we acquired the site, and that goes well. I think that's on the pure progress on where the land is developing. Then on the commercial side and the development side of the land, there's a few angles that we take. There's an opportunity to host a green plastics producer over there that uses methanol as a feedstock. And that project is developing well. So we would host basically the plant on our site and build the necessary storage and infrastructure capacity needed to go to and from the plant. That's together with Vioneo. So that's one. And we're looking at ammonia and CO2 developments that look attractive, but depends a bit on the regulatory framework on how fast these developments would allow people to commit for it. I think the location continues to be very attractive for us. The outlook continues to be for us very attractive and interesting. And then specifically on the IMO, yes, that will take probably a little bit more time for people to get sufficient clarity on what needs to happen over there. The fact that we potentially would have a methanol import opportunity to support the plant. I was just speaking about, gives us the opportunity, obviously, to expand in further methanol storage in Antwerp at this particular site. So I think, by and large, good progress on the pure development of the land and then the commercial opportunities are for us also attractive. Batteries, by the way, is also an opportunity that we see over there. There's land available, good power connection available, and we will definitely pursue all the options that we have to really turn this into Vopak Energy Park in Antwerp. So I hope that helps.
Operator: Now we're going to take our next question. And the question comes from the line of Thijs Berkelder from ODDO BHF.
Thijs Berkelder: Question on cash in the fourth quarter related to some items. Did you already receive the shareholder loans from the Indian JV back? And how much was that? Then you're indicating you will receive EUR 32 million back related to Hindustan LPG. What is roughly the proceeds from the divestment of Barcelona? And did you make any divestments yet in the Vopak Venture entities?
Michiel Gilsing: Yes. On the shareholder loan, so the application has gone to the authorities to get approval, but that's a bit of -- as I mentioned before, it's a bit of a longer process than you would hope for. But that amount is going to be around EUR 40 million. So we hope that, that is still going to be approved by the year-end, but I can't guarantee that, to be honest. So with the Haldia sales and dividend, which we will still get out of Haldia, we expect that shareholder loan plus Haldia is going to be around EUR 75 million cash in for the holding. The Barcelona cash in was relatively small because a lot of that money has been used to also repay some of the debt. So we will get some additional money, but it's lower than -- it's only a few million there. And on the Vopak Ventures, yes, good that you mentioned it, Thijs, because effectively, we have been able to reduce the portfolio already quite a bit. So some cash has come in, but it's somewhere between EUR 5 million and EUR 10 million. So the portfolio is relatively small at the moment. So basically, we have decided the likelihood that we can sell the portfolio in one lot is pretty low because of the size of the portfolio. So basically, we're going to -- what we're going to do going forward is step by step, we will reduce the portfolio to a lower amount. And in the fourth quarter, we will also look at, okay, what's still the value of the portfolio versus what we think we can still realize and then we will update the market on that as well.
Thijs Berkelder: And it means a potential impairment of EUR 10 million or so?
Michiel Gilsing: That could happen, but too early to tell because we need to go through the process. That's a Q4 process. But yes, I don't have any guidance on that yet, but I will update as soon as I have that.
Operator: Now we will take our next question and the question comes from the line of Dirk Verbiesen from ING.
Dirk Verbiesen: Yes. One follow-up, if I may. The remarks about the technical challenges in Eems and the solution or let's say, the problems have been identified. Is that -- is there a -- has that changed in a way that now a solution is found? Or is it more the same, let's say, tone of voice from Q2? Or have there been any developments there?
D.J.M. Richelle: No same tone of voice, Dirk. What we've indicated is a temporary technical challenge. The solution for that challenge has been identified before Q3, and that sits in the acquisition of the procurement of additional compressor capacity. And that capacity is not typically something you buy off the shelf. That takes a little bit of time before they get in, and they are expected to be in service at the end of this year. And therefore, we expect to go back to a different and a normal type operation in -- as from 2026. So more or less in line. I think what we're more specific about now is probably the time line on when we expect it to be done, but all according to at least the plan that we have.
Operator: Dear speakers, there are no further questions for today. This concludes today's conference call. Thank you for participating. You may now all disconnect. Have a nice day.